Operator: Welcome to the Triple-S's first quarter results conference call on the 5th of May, 2009. Throughout today’s presentation, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions. (Operator instructions). I will now hand the conference over to Kathy Waller. Please go ahead madam.
Kathy Waller: Thank you, Emry. Good morning everyone. Welcome to today's first quarter 2009 Earnings Call. With us today are your hosts, Ramon Ruiz-Comas, President and Chief Executive Officer and Juan-Jose Roman, Vice President of Finance and Chief Financial Officer. I am sure all of you have heard the Safe Harbor Statement before, but we still need to get this housekeeping issue out of the way. Each quarter, Triple-S Management executives will provide their current view of the company's future. This means that they will share forward-looking information. As you know, these statements can be affected by the risks and uncertainties involved in the business. Despite management's best efforts, what actually happens may be materially different from what you hear today. To get a better understanding of why this may occur, please look at the Safe Harbor section in today's news release and in the company's periodic filings with the SEC. In addition, the information shared in this call should be considered current as of only today. After today, please use this information for reference only. Remember that the company assumes no duty to update it. This call is being webcast. Shortly after it ends, you'll find an archived version on the investor relations page of the company's website at www.triplesmanagement.com. If you don't have a copy of today's news release already, you can either find one at the company's website or you can call [Han Huey] at 312-640-6688, and she'll forward one to you immediately and she will also make sure you're on our distribution list going forward. With that, I'd like to turn the call over to Ramon. Ramon, please go ahead.
Ramon Ruiz-Comas: Thank you, Kathy. I also would like to add my welcome to everyone. We continue to be excited about the future for Triple-S Management and are happy to have you with us on our call today. Here is the agenda we will follow. I will begin by giving you some highlights from the quarter. Then Juan-Jose will provide the story behind our numbers and provide more detail on the quarter as well. Then, I will return to share our update 2009 outlook. After that, Juan-Jose and I will be happy to entertain any questions you may have. First off, I would like to remind you that Triple-S Management is the leader in managed care, life and disability insurance and property and casualty insurance in Puerto Rico. Triple-S is the number one managed care company in Puerto Rico with the strongest network on a very balanced book of business. With a definite agreement signed just last week to acquire the managed care portfolio of La Cruz Azul de Puerto Rico, we are able to consolidate the Blue Cross and Blue Shield brand into our company and create even greater value on access to all our members. With this transaction, we expand our market leadership in Puerto Rico and strengthened our commercial business. We expect to close the transaction by July 1, 2009 and fully expect our seamless transition due to the fact that we are mainly acquiring their portfolio of business and not their legal entity. I have mentioned in the past, we expect La Cruz Azul to be slightly accretive to 2009 analysis on a rolling 12-month basis. What is important here is that we are able to leverage our strong infrastructure without sacrificing the quality of care for our members. In addition, our decision is a perfect example of how we are expanding our Hispanic footprints, one of Triple-S unique strength. Total members that we acquired are approximately 131,000, of which about 40,000 are rated or fully insured and 91,000 are ASO. Life premiums are expected to be approximately $60 million and $33 million are expected to be approximately $8 million, $9 million. The purchase price will be approximately $10.5 million and will be paid from cash on hand. We are extremely proud of our progress we made in the first quarter and feel it is a positive indication for a terrific year. Our performance in all of our programs (inaudible) match our expectations. We are especially proud of the growth in our managed care segment and the profit we have made in each of our product areas. We delivered 25.9% growth in Medicare Advantage member month enrollment. We saw significant improvement in our recapped Medicare MLR. Our commercial business is showing enrollment growth on our stable MLR as a referral (inaudible) underwriting procedures on our cleaner portfolio. And in the Reform segment, we resumed service in Metro North region in November 2008 after looking in 2006. We have seen record growth in our company rate and net operating revenue, which amount to approximately $473.9 million, up 12.4 % year-over-year. Meanwhile, our primary view to an increasing premium earned in our managed care segment largely reflecting greater volume in the Medicare Advantage business and higher premium rates. Managed Care continues to be our largest segment, representing approximately 88% of the total consolidated operating revenue for the first quarter of 2009. Life Insurance and Property and Casualty Insurance represent approximately 6% each. When it comes to segment operating income, managed care represents 52% as of March 31, 2009, while Life accounts for 27% and Property and Casualty approximately 13%. Al the reportable segment represent about 8% of operating income. Consolidated claims incurred on operating expense for the first quarter of 2009 year were $462.8 million, an increase of 12.8% a year ago. Consolidated claims incurred were up $44.3 million or 12.6%, principally due to increased claim in the managed care segment, driven by higher enrollment and utilization trends and on prior reserve development. The consolidated operation increased 60 basis points to 87.2%, Three months consolidated operating expense were 68.3 million and the operating expense ratio grew just 10 basis points to 14.8%. Consolidated net investment income fell 6.7% to $12.5 million for the quarter, reflecting a lower balance of invested assets and reduced yield. Pro forma net income for the three months ended March 31, 2009 was 8.2 million or $0.27 per diluted share, based on weighted average shares outstanding of $30.3 million, compared with $8.2 million or $0.26 per diluted share based on weight average shares outstanding of $32.2 million at the same time last year. The bottom line is that we feel great about the opportunity we have to build incremental profitable market share across all segments of our business, and we continue to execute our strategic growth plan. We are actively identifying ways to decrease our MLR while still providing quality service to our members. We continue to manage our expenses. And we are pursuing opportunities to further leverage our Hispanic footprints and expansive distribution channel. I will turn the call over to Juan-Jose, who will provide you with additional details on our financials and business segments.
Juan-Jose Roman: Thank you, Ramón. I would like also to add my welcome to everyone on this call. Now, let me review our first quarter 2009 financial results. You already have seen our news release, so I will focus on the key areas. We used to track our performance and share the details behind these numbers. Ramon has already reviewed some consolidated numbers with you, but let me just reiterate that we were pleased with our consolidated revenue, our improving MLR, tight administrative expense control, and overall enrollment growth. As we had expected, the increasing consolidated revenue was largely attributable to the higher net premiums earned in our managed care segment, principally due to their strong growth in Medicare Advantage enrollment. Let me now focus on a discussion of our segment results. Managed care businesses, which accounted for approximately 88% of the quarters consolidated operating revenues, generated total medical premiums for the three months ended March 31, 2009 of $404.5 million, up 12.4% from the prior year. The increase was principally due to a higher enrollment in the Medicare Advantage business and premium rate increases. Administrative service fees for the three months ended March 31, 2009, were $9.5 million 106.5% above those generated in the prior year boosted by a self-funded correspondent member months enrollment increase of 643,608. This sharp rise is largely the result of a one year ASO contract for the Metro-North region that we began servicing again on November 1, 2008. The managed care MLR increased 40 basis points to 91.5%, reflecting the effect of prior period reserve development, net of retroactive adjustment, reducing capitation rates. Excluding this effect in both, the 2009 and 2008, the MLR would have fallen 100 basis points, but we were able raise their improvement in the Medicare and commercial MLR. We experienced a lightly higher MLR in the reform business during this quarter. Our first quarter operating expenses include $1.5 million related to the new managed care IT system that we have been implemented since 2007. In the corresponding period of 2008, the IT system related expense was approximately $1 million. We continue to expect to move the first level of business to the new system between the end of 2009 and the beginning of 2010. In addition, a contingency accrual of approximately $5 million was recorded during the 2009 period partially offset by an insurance recovery receivable of legal expenses of approximately $3 million. The operating expense ratio increased by 30 basis points to 10.4%. Operating income for the three months period ended March 31, 2009 was $5.8 million, up $500,000 or 9.4% than a year ago. Further breaking down our managed care segment for 2009, premiums earned in our commercial business were $189.9 million, up 4.3%, representing approximately 47% of the total medical premiums earned for the three months ended March 31, 2009. The year-over-year gain is attributable to an average 2.2% rate increase per member and a rise in fully-insured member month enrollment of 25,412 or 2.1%, despite a continued slow business of the Puerto Rico economy. The commercial MLR improved by 60 basis points to 90.1%, but when we take development for both the 2009 and 2008 periods, the MLR fell by 90 basis point. Our reform or medical business earned premiums of $84.9 million, 4.8% higher than last year, accounting for 21% of the total medical premiums earned for the quarter. The increase was slightly due to the effect of approximately 10% premium rate high, effective on July 1, 2008, partially offset by a year-over-year decrease in fully-insured member month enrollment of 50,069 or 5.3%. The Reform MLR was 86.9%, 450 basis points lower than in 2008 primarily the result of prior period with their development and the retroactive capitation adjustment in 2008. Excluding the effect of prior period reserve developments and considering the effect of the capitation adjustment, the MLR actually increased by 70 basis points, mainly reflecting higher utilization trends. Rounding out the managed care segment is a Medicare Business, which generated premiums of $129.7 million, up 83.8% over the prior year. Medicare represents a 32% of total premiums earned in the quarter. The revenue increase is a result of a 19.8% jump in member month enrollment or 37,744 and higher average premium rate. Growth was faced by an increase in Medicare Advantage members month of 40,827 or 25.9% offset by a decrease of 3,081 or 9.4% in PVP membership. While the Medicare MLR jumped 500 basis points to 96.6, the dramatic rise in this metric was due to the effect of prior period reserve development. Excluding the effect in 2009 and 2008, the MLR declined 250 basis points. We were able to generate improvement due to recently implemented initiatives, new rates, better utilization and changes to our product offerings, not only without sacrificing the quality of care for our members. Moving now to our Life Insurance business. Net premiums earned in the first quarter of 2009 were $24.4 million, a 10.4% year-over-year advance. Total operating revenues were $28.5 million and operating income was $3 million, they later up $500,000 or 20% compared to 2008. The segment experienced a 230 basis point reduction in its loss ratio to 51.8%. The operating expense ratio improved by 10 basis points to 52.2% in the period. And terms of our Property and Casualty Insurance business, we recorded a net premium of $24.6 million in the first quarter, an increase of 5.6%. Total operating revenues were $27.4 million and operating income was $1.4 million, down $700,000 or 83% from a year ago. Although the segment loss ratio rose 300 basis point to 47.2%, the operating expense rate improved by 120 basis points to 58.5%. Increasing loss ratio is attributable to an increase in reported claims and increases in their reserves, primarily those related to the loss adjustment expense. Now, I would like to discuss a company overall financial condition and provide some supplemental information. As of March 31, 2009, total assets were $1.55 billion, flat on a sequential basis. Total investments in cash were $1.1 billion at the end of the quarter, also unchanged from December 31, 2008. Approximately 91% of the portfolio is invested in fixed income and the other 9% in equity, including mutual funds. As of March 31, 2009, approximately 12% of our 1.1 billion portfolio was exposed to corporate assets and non-agency mortgage backed securities. Looking at our total investment in fixed income securities, 43.2% is comprised of US Treasury securities, obligation of government sponsored enterprises, an obligation of the US government instrumentalities; 14.4% is mortgage backed and collateralized mortgage obligation that are US agency backed. 17.9% in obligation of the government of Puerto Rico and instrumentalities; and 4.3% in obligation of US states and municipalities. The remaining 20.2% is held in corporate bonds, preferred stock, mutual funds and non-agency mortgage-backed securities. As we continue to transition the portfolio to a shorter-term horizon, we have seen its effective duration decrease, which now stand at around four years. As such, investment income should decrease about 5% in 2009 as compared to 2008. Our net premiums and other receivables increased by 12.4% to $249.5 million year-over-year. The rise is roughly the result of increases in premium receivable, amounting to 11.2 million mostly in the Managed Care segment and related to the government of Puerto Rico and instrumentalities, although these premiums were subsequently collected. In term of our medical claims payables, they were $238.6 million as of March 31, 2009, an increase of $36.8 million from December 2008. The number of days claims payable as of March 31, 2009 was 60 days, an increase of 2.7 days from 57.3 at December 31, 2008. This increase is due to the fact that we have more days payable in the pharmacy benefits in March 2009, starting December 2008, which caused the increase in claims payable or debt benefit of our [own $14 million]. For the three months ended March 31, 2009, net cash generated by operating activity amounted to $30 million, principally reflected in increasing premiums collected. On the other hand, last year's cash flow from operations were lower due to the fact that we collected in advance about 22.8 million in premiums during December 2007 related to revenues for January 2008. As of March 31, 2009, we had 108.7 million in cash and equivalents on our balance sheet compared with 46.1 million on December 31, 2008. Since authorizing our share repurchase program in the fourth quarter of 2008, we have brought back approximately 2.9 million Class B shares at an average price of $12.12 for a total of 34.8 million. The repurchase was conducted in accordance with Rule 10b-18 under the Securities Exchange Act of 1934, as amended. The company continues to have approximately $5.2 million earmarked for share repurchase under our current Board authorization. Based on current volume, if we continue to repurchase shares at the current rate, the program will take us to through the [summer]. Once the share repurchase program is completed, the management and the Board will evaluate our regional authorizations and the best use of our cash to create shareholders value. In summary, our first quarter financial results featured continued strong top line growth and improve MLR in our Medicare and commercial business and a strong cash generation. While the reform segment passes slightly higher MLR in the period, we continue to anticipate that our overall MLR for the year will fall in 2009. Now I will turn the call over to Ramon for our guidance and outlook.
Ramon Ruiz-Comas: Thanks Juan-Jose. Now let me view our 2009 guidance. We are projecting 2009 consolidated operating revenue of between $1.86 billion and $1.93 billion reflecting the following; total fully-insured medical enrollment is expected to be between $9.530 million and $9.950 million. Total self-insured medical enrollment is expected to be between $4.450 million and $4.545 million. We look for a consolidated operation to come in between 83.7% and 84.7%. The managed care MLR is anticipated to be between 88% and 80%. We expect our consolidated operating expense ratio to be between 15.0% or 15.4% including $3 million in incremental expense related to the new managed care IT system and $6 million in cost related to the increase in ASO business, mostly due to the Metro-North region. Our consolidated operating income is anticipated to be between $88.5 million and $97 million, or 10% increase at the mid-point of the range when compared to 2008. We expect our 2009 consolidated effective tax rate to between 26% and 27%. That means, we are looking for earnings per share to be in the range of $1.93 to $2.03 based on $29.6 million diluted weighted average share outstanding, excluding any realized and unrealized gain or losses on investments. The earnings per share estimate include $0.07 per share net of taxes in maintenance expense related to the new managed care IT system. We also consider the impact of an increase in the effective tax rate, 3.3% points or $0.08 per share. We have raised our guidance for this year’s earnings per share by $0.05 to reflect the accretion from our share repurchase program and adjusted the share count. All of our other performance metrics are tracking our prior expectations and remain unchanged. Now that we have shared our results with you, we would like the opportunity to answer your questions.
Operator: (Operator Instructions) The first question comes from Tom Carroll. Please go ahead with your question.
Tom Carroll - Stifel Nicolaus: Follow-up on your negative prior period development in the quarter. It sounds like it was mostly related to your Medicare Advantage business, and really the key question is, did you strengthen these reserves at all in first quarter of '09, and do you feel that you're adequately reserve now for the remainder of 2009 in your Medicare business? 
Juan-Jose Roman: Yes, basically the negative development that we have at this stage is in the MA product and it was mostly due to an usual increase in the hospital utilizations in the fourth quarter. Since hospital that take longer to bill us, it really impact our reserve, but we need to be sure that the March reserve would adequate in addition to our numbers, we resigned our reserve, even using April already paid claims. But also we have an external equity to also go over our reserve; just to be sure that the March numbers are in line with what should be the expected number. So we do expect that March is adequate and that the reserved, the issue that we have on the current timing, have been already built in our reserve as of March.
Unidentified Analyst : Would you say all of 10.5 million of the negative development was Medicare Advantage related?
Ramon Ruiz-Comas: Mostly, yes.
Unidentified Analyst : Okay. And then, just an admin question. Did you say that you’ve 108.7 million in cash at the parent?
Ramon Ruiz-Comas: Not to that company.
Unidentified Analyst : Okay. What’s your cash in the parent number?
Ramon Ruiz-Comas: It's about 40, 45 million. 
Operator: The next question comes from Greg Nersessian. Please go ahead.
Greg Nersessian - Credit Suisse: Hey good morning. I was just wondering if you could walk through kind of a run rate number for the first quarter. There is a lot of moving pieces here with the negative development, the tax rate and then the, I guess this reinsurance recoverable in the (inaudible) and I guess what do you view as kind of a run rate first quarter number and did you anticipate the negative development when you reiterate the guidance at the Investor Day in March?
Ramon Ruiz-Comas: Well, in terms of the run rate, right now, when you exclude the tax, the total MLR for the managed care, it basically went down at 100 basis points than last year quarter, and that basically, what that means is, go from 91.5 reported to 88.9 retested. When we keep our guidance, we don’t have the significant reserve development for when we review for this call our guidance based on the slightly better MLR reported when you exclude the reserve development in the Commercial and in the MLR. We understand that a little better than expected results are enough to cover the negative development of the year. That's why we stand by and we didn't change our guidance for the year. In terms of the G&A, probably the best way to look at it is the net, is that we have about $2 million in original expense at non-recovering expenses, which is the net of the accrual of $5 million, net of the recovery of $3 million. So the best way to look at it, actually going forward, that the first quarter has a non-recovering adjustment of about $2 million.
Greg Nersessian - Credit Suisse: Okay. So, if I'm sneaking forward, we should adjust the consolidated MLR, we should exclude the negative reserve development going forward from the consolidated MLR, exclude the $2 million from the SG&A and then put, I guess what's the tax rate, what was the effect of tax rate I guess in the first quarter, excluding the realized gains that gets you to the 26% to 27% for the full year?
Ramon Ruiz-Comas: Yes. In that sense, the effective tax rate for the quarter is not a representative of the expected effective tax rate for the full year. That's mostly due or because of their results or the first quarter, what we will state for the rest of the year in the next three quarters is that the underwriting gains and operations will be at the percentage of the net income, almost higher in the next three quarters. Because our MLR tend to be lower in the next three quarters. So, the settings that we really will have high underwriting gains, which are in fact at the very high end of the tax rate, which is 39%. So you should expect that’s why we still estimate that at the end of the year, effective tax rate will be around 27%.
Greg Nersessian - Credit Suisse: So, the tax rate we should use is going to be north of that 27% for the rest of the year, something in the low to mid-30s for the rest of the year, is that fair?
Juan-Jose Roman: Yes.
Greg Nersessian - Credit Suisse: Okay. And then what was I guess the investment income that you are guiding lower your investment income, what was the original guidance and then if you could just repeat what your expectation is now?
Juan-Jose Roman: Yes. The original guidance was to 53.2 million.
Greg Nersessian - Credit Suisse: Okay.
Juan-Jose Roman: And right now, we think we will get around $52.7 million. I have not changed much on the original guidance. So it is down about 6% as compared to 2008.
Greg Nersessian - Credit Suisse: Okay. So, would you just characterize those as the main moving pieces here in terms of how we should think about the last three quarters of the year. The MLR adjusted for the prior period of [the development], the G&A just for those two item, tax rate and then the investment income any other major moving pieces of it?
Juan-Jose Roman: You bet it right. That’s basically the moving parts that we have in the quarter.
Greg Nersessian - Credit Suisse: Okay, perfect. Thank you very much.
Juan-Jose Roman: You are welcome.
Operator: The next question comes from Charles Boorady with Citibank. Please go ahead.
Charles Boorady - Citibank: Hi, thanks. Good morning and congrats on closing of the acquisition. I just wondered how your guidance might change post to the closing of the acquisition?
Juan-Jose Roman: Actually, thanks. Hi, Charles. Our guidance right now, do not consider anything regarding Cruz Azul. We estimate overall for 2009, since we do expect to close acquisition in July 1st. Estimated premium probably will increase around $30 million and the administrative service fees around $3 million to $4 million. We expect the acquisition to be slightly accretive in the very low, probably single digit for the year. So, we will have a better number for our next conference call in the second quarter, once we get all the groups that are finally transferred to us and we will reassess our model, but probably (inaudible), also looking for 2009. That's basically what you should expect. 
Charles Boorady - Citibank: Got it. And can you talk about post closing of the deal, just roughly what your balance sheet will look like and available cash for future acquisitions or for share repurchases. 
Juan-Jose Roman: The fund purchase price will be around $10.5 million and that will be from cash from our managed care subsidiary. So, the managed care subsidiary basically will form a 100% of the acquisition. So we would still have $40 million to $45 million of the holding company and also some excess cash of the managed care company. 
Ramon Ruiz-Comas: And one of the things that I want to mention, Charles is that the purchase price will be paid in two installments. So, actually this year we should be paying approximately $5 million of the purchase price and the other part will be paid next year. Hello?
Operator: The next question comes from Justin Lake. Please go ahead.
Unidentified Analyst: In for Justin. I was just wondering, as you look further ahead to 2010 Medicare Advantage landscape, just kind of what are your thoughts given the rates that are kind of up on CMS. What are your thoughts on the levers that are available to you to either maintain enroll or maintain margins or expand enrollment next year. Also on the IT expense outlook, would it be reasonable to assume that there is actually little bit higher than $0.07, is there any guidance may be in relation to La Cruz Azul acquisition, could you kind of bring that on board.
Juan-Jose Roman: In term of the IT system, it should not impact our IT cost during the year. So, the number as we guide is, we don’t expect any changes. In term of IT we could go in as planned. La Cruz Azul business basically, that will be incorporated within our actual system. So, there will be some cost associated with the implementation but that’s basically incorporated in our model, when remodel is slight increase for 2009.
Ramon Ruiz-Comas: In case of Medicare Advantage, we are working on the model that we will be presenting for 2010, and actually one of our objectives will be to try to maintain the profitability that we have at this moment. At this point based on the information that we have, we don’t expect a significant stake based on the change already caused by CMS. We don’t expect a difficult change in our financial because we are configuring those change in the model that we are working for 2010.
Juan-Jose Roman: Right now, we are reviewing some product that will be more impact than others and basically what we’re looking is the sign of their benefit. So, in some of the product there might be some impact in term of reducing the benefit, but we will have to wait until we have the final numbers and consider specifically the reduction in the physicians' rates.
Operator: (Operator Instructions). We have a follow-up question from Carl McDonald. Please go ahead.
Carl McDonald - Oppenheimer & Co: Thank you. Could you tell about the mix of business you have in the Medicare Advantage right now between the duals from the non-duals? And what you're thinking about the enrollment over the balance of the year?
Ramon Ruiz-Comas: Yes. Actually in terms of the enrollment what we have seen so far, first, is that we do have as we discussed in our first quarter conference call, a reduction in the dual eligible product, but at the same time that has been offset by an increase in our non-dual product. As of March basically, we have a total of -- total earning of 64,000 members. From that, 27 -- almost 28,000 are dual and the difference are the non-dual. In terms of the PVP we have as of March almost 10,000 members.
Carl McDonald - Oppenheimer & Co: And are you anticipating the Medicare enrollments should be relatively flat over the balance of the year or should we expect that to tick up a little bit?
Ramon Ruiz-Comas: Probably will be slight increase, but it should be kind of stable right now for the rest of the year.
Carl McDonald - Oppenheimer & Co: Okay. And then a follow-up question on the cash and the acquisition. Do you have enough excess cash in the tub to fill the cash story requirements with La Cruz Azul will you need to transfer any cash down?
Ramon Ruiz-Comas: No, nothing. We have enough capital and cash. So, it will be a 100% funded from the managed care subsidiary, and even after considering the increase in the business that we are acquiring, the RBC and the capital and the cash and the [sublevel] is enough to handle the acquisition.
Ramon Ruiz-Comas: And in fact Carl, this is one of the things that the Blue Cross Blue Shield Association look at very globally and the association was supporting significantly the current pact between Blue Cross Shield and Triple-S.
Carl McDonald - Oppenheimer & Co: Okay, thank you.
Operator: (Operator Instructions). There appears to be no further questions. Please go ahead with any further points you wish to rise. There are currently no further questions. Please go ahead, sir.
Ramon Ruiz-Comas: Well, I want to thank you for your participation here in this conference call. I would like to leave you with a few final thoughts. Triple-S Management has a strong competitive advantage in this market. Puerto Rico has the right price for you, for us to operate. We know the market, we have ample opportunity for growth and we are the market leader. There are also very many opportunity for us to improve our operations, improve the profitability of our business and leverage our infrastructure. We are in a strong financial position, which will support us to whatever economic challenge we may take in the coming year. We have sufficient capital to fund our growth. Juan-Jose and I would like to thank you for joining us today and we look forward to updating you again with our second quarter results. Thank you.